Operator: Greetings and welcome to the Federal Realty Investment Trust Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Ms. Leah Brady. Thank you, ma’am. You may begin.
Leah Brady: Good afternoon. Thank you for joining us today for Federal Realty’s fourth quarter 2021 earnings conference call. Joining me on the call are Don Wood, Dan G., Jeff Berkes, Wendy Seher, Dawn Becker and Melissa Solis. They will be available to take your questions at the conclusion of our prepared remarks. A reminder that certain matters discussed on this call maybe deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include any annualized or projected information as well as statements referring to expected or anticipated events or results including guidance. Although Federal Realty believes that expectations reflected in such forward-looking statements are based on reasonable assumptions, Federal Realty’s future operations and its actual performance may differ materially from the information in our forward-looking statements and we can give no assurance that these expectations can be attained. The earnings release and supplemental reporting package that we issued tonight, our annual report filed on Form 10-K and our other financial disclosure documents provide a more in-depth discussion of risk factors that may affect our financial condition and results of operations. Our conference call tonight will be limited to 75 minutes. We finally ask that you to limit yourself to one question during the Q&A portion of our call. If you have additional questions, please re-queue. And with that, I will turn the call over to Don Wood to begin the discussion of our fourth quarter results. Don?
Don Wood: Thank you, Leah and congratulations to you on your promotion to Vice President of Investor Relations this month. Really well deserved and we are sure lucky to have you. Well, good afternoon, everybody. What makes Federal’s business plan so different is our multifaceted approach to capitalize on these best located, best tenanted retail properties with a laser focus on bottom line earnings growth, 104 individual assets with a proverbial toolbox filled with numerous ways of achieving that goal for years to come. Took a global pandemic to knock us off our horse for a time, but we are back up and we are riding high. 2021 was the first step, where each quarter throughout the year exceeded our constantly upwardly revised expectations. That trend continued in the fourth quarter, with FFO per share of $1.47 handily beating our forecast, and of course, last year. The shining star of the business continues to be leasing as it’s been a whole year, but it was taken to new levels in the fourth quarter. I need to put this into context, so bear with me for a minute. First, on a company-wide basis in the fourth quarter, we signed 149 commercial leases, that is retail and office but not including residential leases, which itself was really strong, for nearly 900,000 square feet of space. That includes renewals of existing tenants, along with space that here sits vacant today, is expected to be vacant in the coming months or as for new buildings currently under construction or just completed. That’s an annual base rent commitment of nearly $35 million. Consider that over the last 10 years, an average quarter’s outlook produced about 110,000 commercial – 110 commercial leases and 500,000 square feet. That means that in this quarter, we did 35% more deals or 80% more GLA than average. This is very strong quarterly volume even in a year where each previous quarter seemed to set some sort of record. And while I don’t think that those fourth quarter levels are regularly repeatable, our leasing pipeline suggests that they will remain above historical averages for the foreseeable future. For the full year 2021, we did 573 commercial leases for 2.9 million square feet and an annual rent commitment of $116 million. These activity levels are unprecedented over the very long history of this company. But this leasing volume is particularly important because it provides strong validation at the very diversified product type that we own and are creating very highly sought after. And the leasing is broad-based. It’s the single biggest reason that I believe Federal Realty is better positioned post-COVID than we were before. Let me breakdown the quarter numbers a little bit more. I think you will see what I mean. Of the 149 commercial leases signed, 116 of them or nearly 600,000 square feet were for comparable space, one where a tenant previously operated from. Those leases were written at an average rent of $34.34, 6% higher than the tenants they replaced. Another 9 leases or 22,000 square feet were written for non-comparable space at an average rent per foot of $43.53 at places like Assembly Row Phase 3, CocoWalk and Camelback Colonnade in Phoenix. But it’s the remaining 24 leases or 277,000 square feet at net rent of $48.52 that really is a strong positive differentiator to our business plan. It’s the office leasing at our long-established mixed-use communities in this quarter, primarily at Assembly Row and Pike & Rose. Now look, I certainly realized that general office leasing does not evolve right now for good reason, given the macro levels of uncertainty surrounding back-to-work policies. But not all office space is created equal and it has become clearer and clearer with each quarter and each month that passes that the new Class A office product that we own or are building at 5 of our amenity-rich mixed use communities is in extremely high demand and commanding rents that are clearly additive to both earnings and value. Each of those 5 are well-established retail locations already and the office component is in expansion, building on the success of the retail. They are Assembly Row, Pike & Rose, Bethesda Row, Santana Row and CocoWalk. That’s it. Deals with a myriad of companies and lots of different industries, headlined by our lease with Choice Hotels for their new world headquarters at Pike & Rose are just the latest examples of company choosing our building as the product of choice, no pun intended for the future. Those companies are joining others like Puma, Avalon Bay, NetApp, Bank of America and Splunk in helping to create long-term sustainable communities in our portfolios in Somerville, Massachusetts, Montgomery County, Maryland, Silicon Valley and Miami. And check this out. While 197,000 feet of the 277,000 feet done in the quarter was primarily at newly constructed buildings at Assembly and Pike & Rose, the remaining 80,000 was for comparable space at a positive 23% rollover. That strong rollover was largely driven by our first renewal and expansion at 450 Artisan Way at Assembly Row, the 100,000 square foot office building built as part of Phase 1. That rent went from a blended sub-$30 triple net rent to the mid-40s triple net. Pretty good data point of the longer term office upside that exists at well executed, well-amenitized mixed use communities in first-tier suburbs. As I said and firmly believe all office opportunities are not created equal. And while we don’t have anything to announce on this call at Santana West, there is serious interest from a number of substantial tenants where we are making some very good progress. And by the way, take a look at the occupancy gains we are making on the retail portfolio portfolio-wide, which are equally impressed. At year end, we are 93.6% leased and 91.1% occupied. That’s an 80 basis point leased and a 90 basis point occupied pickup in just 3 months, impressive for sure, but still a ways to go to get to our 95% plus historical bogie. Okay. So what about the Omicron impact? Well, as you would expect, there is little impact in the fourth quarter as the variant spread didn’t take hold until late December and January. And what the impact will be on 2022 has yet to play out. But thus far in 2022, it feels like across the board, shoppers, tenants and other constituents seem to be viewing Omicron as temporary. And while wearing mask and being more careful in most of our markets, are marching forward with typical winter shopping patterns. Requests for rent accommodations from tenants have been few and we have not agreed to anything significant at all at this time. Now, from a capital allocation standpoint, which after all is really what we as management teams in this industry do to add the most value, we are actively using all three levers: asset sales, acquisitions and the continued expansion in our established properties, all in the name of bottom line earnings growth. You will notice from our 8-K that we closed on the sale of 2 shopping centers where we saw limited upside in the future. The combined proceeds of $113 million in just Leesburg Plaza and Saugus Shopping Center sold at a blended high 5% cap rate were used to reduce debt before year end. On the acquisitions front, we would like to invest several hundred million dollars in 2022 based on our identification from our hit list of targeted properties that feel like they may trade this year. Progress early in the year has been encouraging and soliciting serious conversations. Stay tuned. And certainly, on the development front, we expect to be substantially done constructing our residential of our retail neighborhood in Darien, Connecticut this year. We are underway at our $190 million office tower for Choice Hotels at Pike & Rose. And we have more than a dozen property improvement redevelopments underway throughout the portfolio. By the way, Citi will be hosting a tour of our newly completed CocoWalk mixed-use project during their conference in South Florida next month. It’s pretty spectacular. It’s created over $60 million in value on our $200 million investment and we would love to see a wide variety of investments there. It’s going to be an active year on all fronts at Federal. I got to believe the visibility of this multiple year bottom line earnings growth plan is the most transparent in the sector. That’s all about all I have for prepared comments. Let me turn it over to Dan and we will be happy to entertain your questions after that.
Dan Guglielmone: Thank you, Don and hello everyone. Our reported FFO per share of $1.47 was up 29% from the fourth quarter of last year and roughly $0.06 above the top of our guidance range. For the year, we reported FFO per share of $5.57, a 23% increase over 2020’s results. Both of those reported increases exclude the one-time debt repayment charge from 4Q 2020 in order to show a meaningful apples-to-apples comparison. Primary drivers of that outperformance versus expectations were higher percentage rent from COVID-amended leases bolstering better collection rates; a faster acceleration in occupancy than expected; stronger leasing at our residential assets, including the Phase 3 residential at Assembly; lower real estate taxes than we had forecasted; plus financing activity, which occurred later in the quarter than expected. This was offset by higher G&A; higher property level operating expenses, primarily one-timers; and lower term fees than we forecasted. For those analysts that keep track, we had $1.7 million of term fees for the quarter against a 4Q 2020 level of $3.6 million. Collections continued to improve, with 97% of monthly billed rent being collected for the quarter, up from 96% reported on our third quarter call. Including abatements and deferrals, we are 99% resolved. Prior period collections were down to $5 million versus $8 million in 3Q. And as a result, our collectibility adjustment was up modestly to $2 million, primarily driven by this prior period follow-up. Collection of deferrals continue to outperform our expectations. Of the $46 million total rent we deferred since the start of COVID, $27 million has been collected, which represents roughly 90% of the amounts that were scheduled to be repaid by year end. Don already highlighted our record breaking quarter and year of leasing, but let me add some additional color. As you mentioned, we were 91.1% occupied as of quarter end, a 90 basis point increase over both the third quarter and year-over-year. Our lease rate stood at 93.6%, an 80 basis point increase over the third quarter and a 140 basis point increase year-over-year and a 250 basis point spread between leased and occupied should set us up for strong growth over the course of 2020. These significant gains were primarily driven by small shop leases. Our small shop lease percentage is up to 87.4%, a 130 basis point sequential increase in the quarter and a 280 basis point increase year-over-year, solid progress in getting back to our targeted bogie of around 90% to small shop. Highlighting some of the small shop activity were deals for some of the most sought-after tenants of today: Warby Parker with 3 new deals; Made Well with 2 new leases; [indiscernible]; Aged Denim, Old [ph] Pizza; another Nike Live; another [indiscernible], just to name a few. Anchor leasing was solidly up 50 basis points to 96.8%, given broad-based activity with 12 deals totaling 320,000 square feet of the almost 600,000 for the quarter. Categories for new deals include grocers, discount apparel, sporting goods, home furnishings and healthcare. On the residential side, we saw a surge in leased occupancy of 240 basis points year-over-year to 97.2% and saw strong high single-digit year-over-year new lease rent growth. We feel well-positioned to drive incremental POI growth in 2022 given forecasted strength, particularly in our Boston and Silicon Valley markets. Evidence of this plan – evidence of this can also be seen where after just 7 months, our 500-unit Miscela residential tower at Assembly is already 60% leased at rents which are 15% higher than the pre-COVID lease-up rental rates of Montaje, its sister resi tower next to it at Assembly Row. In terms of redevelopment, we now have roughly $400 million of remaining spend on our $1.5 billion investment pipeline. Much of that pipeline has recently been placed into service. These projects will be a source of significant earnings growth in 2022 through 2025 as we continue to ramp up in POI contribution. In our 8-K, we have reinserted disclosure relating to the ramp up of POI at our large in-process projects and also provided some detail in a footnote on the 99% leased CocoWalk. Now, to the balance sheet and an update on our liquidity position, the fourth quarter was an active one in the capital markets front. We raised another $85 million of common equity for our ATM on a forward basis at a blended gross price of $130.50. We have repaid mortgages totaling $117 million that encumbered the avenue of White Marsh and Montrose Crossing, getting another $18 million of POI to our unencumbered pool. And during the quarter, we sold $121 million in assets, including the Leesburg, Virginia and Saugus, Massachusetts assets Don mentioned, bringing our total for the year to $142 million at a blended yield in the mid-5s. As a result, we ended the year with $162 million of cash available, an undrawn $1 billion credit facility at $264 million of forward equity to be taken down in ‘22, leaving us with total liquidity of over $1.4 billion. Our leverage metrics continue to improve. Net debt to EBITDA is now down into the high 5x level for the fourth quarter annualized net of the forward equity. And that metric is forecast to improve over the course of 2022 as development POI comes online and occupancy drives higher from leases that are already executed. Again, our targeted level is in the low 5x range. Fixed charge coverage is back up to just under 4x and we have no debt maturities until mid-2023. Now on to guidance, for 2022, we are increasing our guidance range to $5.75 to $5.95 per share, a $0.10 increase over our previous range. This represents 5% growth at the midpoint, 7% at the high end. And this was driven by occupancy levels expecting to increase from 91% at year end up into the mid to upper 92% range by the end of 2022. An increased forecast for current period collections, up from an average of 95% in ‘21 to an average 98% over the course of ‘22. Greater contribution from our redevelopment and expansion pipeline, again, for those modeling, let me direct you to our 8-K where we are providing our forecast of stabilized POI ramp up by year as well as accretion from our 2021 acquisitions being online for the full year. Additionally, of the $440 million of 2021 acquisitions, they are really outperforming our original underwriting and are expected to yield a blended 6% in 2022 versus an initial 5.5% expectation. Please note that these deals would clearly sell at a blended sub-5 cap rate in today’s environment. Now this will be offset by lower prior period collections, where the net 2021 level is $22 million. And for ‘22, it is expected in the range of $5 million to $8 million. We are expecting lower net term fees. We had $8.4 million in 2021 and forecast $4 million to $6 million in ‘22, more in line with historical averages. Despite over 300 basis points of headwinds from prior period collections and lower net term fees, our comparable growth forecast is 3% to 5% for 2022. Other assumptions include $300 million to $400 million of redevelopment and expansions at our existing properties. $300 million to $400 million of equity to be issued inclusive of the forward equity already total. G&A is estimated in the $50 million to $54 million range for the year. We have set a credit reserve of roughly 2%, plus or minus 50 basis points. Dispositions made in 2021 contributed $8 million of PRI to 2021. And that obviously won’t be there in 2022. And we will have lower interest income, given the repayment in mid-2021 of our $30 million mortgage loan at yield of 10%. As is our custom, this guidance does not reflect any acquisitions or dispositions in 2022. We will adjust for those as we go, given our opportunistic approach to both. It also does not assume any tenants moving from a cash basis to accrual basis. And please note the expanded disclosure in our 8-K relating to guidance. With respect to our goal posts for 2023 and 2024, we continue to believe that 5% to 10% compounded growth from our upwardly revised 2022 FFO range is achievable. Timing in terms of the lease-up at One Santana West will have a big influence on where we end up within that range. Now while we are not providing color on specific timing, $7 per share of FFO is a realistic target in the coming years. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Alexander Goldfarb with Piper Sandler. You may proceed with your question.
Alexander Goldfarb: Hi, guys. Good afternoon. So two questions here. The first question is, obviously, on the apartment side, what we’ve seen all around is the rent rebounds and rent growth is tremendous. On the retail side, the sales recovery has been just off the charts. I mean, the mall companies have been saying it’s well exceeded 2019. You guys are talking similar. It’s hard to believe that this is all just a catch-up of people staying in their homes during 2020 and early 2021. So do you think there is something else at work? Or is this just like a one-hit wonder. We all rebounded this year or 2021, and then sales are leveling out? Or do you think that people have sort of – and retailers themselves have rediscovered retail, and therefore, this accelerated sales pace is sustainable in the next several years?
Don Wood: Yes, Alex, I mean that is the – I mean, that’s the question of the day. The – everything we said, we seem to see. And again, it’s looking at it through our view, which is not a national view. It’s really primarily a postal view, suggests that this – that the recovery of sales, etcetera, are here to stay. I do think there was something very interesting that happened through COVID in terms of people’s realization of how important socials was. It’s really important into how going out to eat and to play at the shop is. So I think a lot of that states. The other thing, and you kind of touched on it early in the first part of the question, I want to address it is the residential side. There is no doubt that places – and again, our residential outlook is only on a few places. But it got hurt as you think about it going into COVID. The way it’s recovering is pretty interesting to me. And we have a really interesting barometer. If you remember at Assembly, pre-COVID, we were opening up a big 500-unit building that we call Montage. And in that building, in the fourth quarter of ‘18, October, November, December of ‘18, before any COVID, that building, we had average rents of $3.35. Ironically, we’re now opening the second building, which is also 500 units, and it’s right next door. It’s called Micelle. It’s leasing up faster than we thought, and it’s leasing up at $3.85 in that fourth quarter, 15% more than pre-COVID at Assembly Row. It’s really interesting. And if you look at the deals that are happening in January and February, it’s not a big sample size because of January and February in Boston, but those are well over $4. So there is something that’s happening here with respect to lifestyle, with respect to shopping, with respect to certainly the office piece in terms of what’s to come there that is really – that really feels to me like an energized pre-COVID time that, to some level, is here to stay.
Alexander Goldfarb: Okay. And then the second question is – with the recent – the prime waves that have happened and stores that have been targeted, I mean, your portfolio has been hit. On the public earnings calls, all the companies that I’ve asked so far, everyone said, there is a little bit more security costs but no tenant has changed their leasing plans or is moving stores. And yet when we speak to people and some of the companies privately or speak to others that are involved in retail in urban settings, it’s a different story. So my question is, is it just that, in general, there is really been no fallout. There is increased lease security costs, but in general, there is been no leasing fallout. Tenants really aren’t shifting their portfolios or is it that, yes, in certain markets, they are seeing a change, but it’s not a change that is appearing nationally as the retailers look at their fleets?
Don Wood: I can really only respond to our properties in our markets, and I can tell you there has not been a change in any of the retailers’ plans for moving forward because of price.
Alexander Goldfarb: Okay, okay. Thank you, Don.
Operator: Our next question comes from the line of Craig Schmidt with Bank of America. You may proceed with your question.
Craig Schmidt: Yes. Thank you. You guys have come out of COVID being rather aggressive, impressively so on your external growth. You’ve really taken up your acquisitions and you continue to push on your redevelopment. I’m just wondering though, with the continued pressure on cap rates, may you start to favor redevelopments over acquisitions just because it’s tougher to buy and adding value when cap rates are so attractive is a compelling proposition?
Don Wood: Great question, Craig. Let’s let Jeff jump on that first, particularly from the acquisition side.
Jeff Berkes: Yes. Hi, Craig, good evening. I think you’re right on the point. We were really happy with what we got done in ‘21. As Dan mentioned in his prepared remarks, we got that those deals done in the first half of the year, generally speaking, which was great. All the properties we bought in ‘21 have great redevelopment and value-add opportunities going forward, which as you know we think is very important when you are buying something. The second half of the year [indiscernible] tightened up yield now, whether you’re talking about cap rate or IRR, are lower than they were pre-pandemic. And where public equity trades in the teens on average, it’s a real head scratcher as to how you make the numbers work for your normal grocery anchored neighborhood or a community center. The numbers just don’t work, especially when you look out a few years and what the growth of the property level needs to be to support the implied growth in the equity that’s issued by the asset. I think you’re spot on. And as you know, we’re careful about that kind of stuff. We’ve always been really disciplined because we’ve never felt pressured to buy anything because we have, as Don said, so many tools in the tool bag. So we will continue doing what we’ve done for the last two decades that most of us have been here and will be careful about what we buy and make sure it’s got good go-forward growth prospects, densification opportunities, lease-up releasing, all that kind of stuff. But certainly, if you don’t have the ability to source that stuff, if you don’t have the ability to take advantage of those opportunities, just growing by buying something in today’s market is not a very good idea, in my view.
Craig Schmidt: Thank you.
Operator: Our next question comes from the line of Katy McConnell with Citi. You may proceed with your question.
Katy McConnell: Hi, everyone. Thanks. Just wondering if you could walk us through some of the key swing factors that could get you to the higher or the low end of your updated FFO guidance range? It is still a fairly wide range for this year. And what would need to happen for you to narrow that more throughout the year?
Dan Guglielmone: It’s Dan. Hi, Katy, how are you? Look, I think that we’ve given a range of 3% to 5% for comparable property. I think that kind of what goes in that is just collections, both prior and prior period as well as kind of going forward current. Also kind of what we do with regards to term fees, which we’ve kind of reduced. Our prior period rents have also been reduced. We’ve given a range. I think you’ll see on Page 33, in our guidance we gave kind of a little bit of a range with regards to G&A expense of $50 million to $54 million. I think it’s a little bit of a sense of the range of development, redevelopment capital that we can put to use. And then also how much equity we raise. We’ve also – how quickly some of the rents can come online at our developments as well as the rest of the year, how we can get things rent started. So I think there is a whole host of those. I think our – we’ve given a range of credit reserve at around 2%, plus or minus 50 basis points. That’s another one. Obviously, that shows up, will be reflected in the 3% to 5% comparable to an extent. But those really, I think, kind of are levers that get us there with regards to that stated range of guidance. Again, it does not include dispositions, does not include acquisitions, does not include any changes in our revenue recognition with regards to cash versus accrual.
Michael Bilerman: It’s Michael Bilerman here with Katy. Don, I was wondering if you can maybe step back and just think about capital sources and uses. You have $300 million to $400 million of development and redevelopment spend that you have targeted for this year. And in your opening comments, it sounded like there was number of transactions on the acquisition front that you have underway. You list here about $300 million to $400 million of equity, which is effectively – I don’t know if that equity is all common equity. I don’t know if you’re deeming that to be equity selling assets. But just talk a little bit about how you think about funding that growth and how significant it could be.
Don Wood: You bet, Michael. So the first thing you got to remember is that we’ve got forward equity contracts of $250 million.
Dan Guglielmone: $260 million, Don.
Don Wood: $260 million that has already been sold, that will be taken down in 2022 at some point. That’s important. Incremental equity in our budget is another $140 million or so on top of that. We’re also looking at selling a couple of assets that probably should think – you should think about another $100 million or so there. So what we’re really certainly trying to do is be very balanced with respect to the capital that we would use – that again, have raised a lot of it already. That’s important. We’re not going to lever up the company. We’re going the other way. And so the notion of new deals and how those deals would be financed, they’ll stand on their own. And we will figure out the best way to finance those depending on what type of assets they are, where we’re going. But with respect to the stuff that’s committed, we’re in really good shape because of the pre-funded equity so far and the couple of dispositions that we would do.
Michael Bilerman: And I guess from a volume perspective, how do you think about – you added all the yield back to the supplemental, thank you for that. Some pretty attractive yields relative to where the acquisition market is being priced and certainly relative to where you got those deals off last year, so I guess, why not activate more of the stuff that’s in your wheelhouse versus going out and paying lower cap rates for acquisitions and issuing equity at a discount to where your NAV is, right? I mean due to diluted…
Don Wood: First of all, I fully agree with you, Michael. I fully agree with you, which you have to first really mixture you get is all the capital that has been spent to date that has not – that is not yet producing. And that is automatic FFO growth, automatic property level growth. And it is the single biggest source of growth in the next couple of years after plain old lease-up of a portfolio that is still under lease in terms of where it goes. Those two things are huge. The other thing with respect to acquisitions, and this is where I could not agree with you more. They have got to make a lot of sense. Now I will tell you that there is one that we’re looking at specifically in order to handle a 1033 transaction that we had a couple of years back. So there are – we will step up to be able to do a deal that makes sense overall on an overall tax reform tax perspective. But beyond that, your point is 110% right. I couldn’t agree with you more.
Michael Bilerman: Okay, thanks. See you at Coco in a few weeks.
Operator: Our next question comes from the line of Greg McGinniss with Scotiabank. You may proceed with your question.
Greg McGinniss: Hi, good evening. I guess looking at leasing, the leasing volumes are obviously quite strong. Rent spreads are slightly less exciting. Could you just talk about market rent growth that you’re seeing relative to 2019? And then in what regions you’re either seeing more strength or recovery in rent growth?
Don Wood: Yes. I can start on that. When, you jump in wherever I screw this up. But the – when we sit and we look at 6%, 8%, 9%, something like that, which is where we expect to be overall, that is – that’s about where we are overall compared to not only ‘19, but what is in place all the way through. When you look specifically to ‘19, and I just did this to get comfortable with it, we are 3%, 4%, 5%-or-so higher than 2019 overall. That doesn’t mean, and I have said this 100 times, that it will always be the case that there aren’t specific deals that will either drag that down or drag that way up. In this particular quarter, I got a – was a good example of it. We had a CDS in line at Barrett’s Road, one of our best shopping center that we could not accommodate a drive-through. They left the shopping center to go across the street for a drive-thru. Those things happen. That was a big rent payer that wouldn’t be able to be replaced without that deal, those rollovers that would have been eight for the company. So, there is always a couple of things like that. They go both ways throughout the company. But overall, you are talking about a level of demand that’s in excess of the supply of our particular product. So overall, you should expect that continued growth in rents. The other thing is, though, you have kind of translate that down to the bottom line. And when you hear big numbers of rollovers, but no growth at the bottom line, you kind of sit there and say, what, because from my perspective, taking – being able to expand that properties that are fully settled as great retail destinations like a Pike & Rose, or like an Assembly, like a Santana Row, to be able to add buildings to expand what you have. My gosh, that’s great risk-adjusted growth. That really needs to be thought through and considered in terms of it. So, both the leasing and the expansion and the PIPs, the property improvement plans, all of that, when that happens, winds up, I think would show you bottom line growth that is consistent and sustainable for a number of years. That’s the name of the game.
Greg McGinniss: Alright. Well, thank you. And then just regarding those potential acquisitions that you and Michael were referencing, what are you seeing in the market from a cap rate perspective? And how do you think that impacts the value of your portfolio? I know, Dan, a few years ago gave us his NAV estimate, which I believe you weren’t too pleased about. I am giving in the first place to comment otherwise, which we all appreciate it…?
Don Wood: First of all, Greg, that’s just good topics between Dan and I. It’s not – we are on the same page in terms of that. Look, I don’t know. It’s been – it’s so well publicized. It’s so well clear that really strong shopping centers today are in the markets that we want to hit or some general. I mean that’s really – when you take a look at the big projects that we have, when you look at what the value of CocoWalk is going to be when you come and see it, when you take a look at what’s being added at Pike & Rose, at Assembly, etcetera. I think you are going to – I think it’s pretty obvious that you are talking about sub-5 across the board in this company. Not at every shopping center, but across the board in store. And so when you look at that, you can do the math. That’s the way you think the NAV should be. But to me, that NAV is critically important. The most important thing about that, that ties obviously into the cap rate. Where is the growth, man, how are you going to grow it and what’s that thing going to be like in a few years because that’s what a buyer is paying for.
Greg McGinniss: Okay. And then just to follow-up on that, with the new structure in place, should we expect to see some use of that structure in terms of OP units to help on the acquisition side?
Don Wood: Maybe yes, maybe no. That is – that was an administrative change that was, frankly, we found a relatively simply the simple way and inexpensive way to do it or do foundationally to be able to do that, such that so that we weren’t in any disadvantage should the opportunities come up. So, I know it’s not a bad thing in any way you look at it. And to the extent some of the deals we are talking about are looking at can utilize that and give the particular seller more comfort, great. But I couldn’t handicap it with you is that – so yes, that means we will do four deals instead of one deal or that kind of thing. But it’s generally a good thing.
Greg McGinniss: Alright. Thanks.
Don Wood: You bet.
Operator: Our next question comes from the line of Juan Sanabria with BMO Capital. You may proceed with your question.
Juan Sanabria: Hi. Thanks for the time. I think you mentioned about 150 basis points of occupancy growth in the prepared remarks from year-end to year-end. But just curious if you can give us any sense of the cadence throughout the year. Typically see some seasonality in the first quarter, but that seems to have gone out the window with COVID here and the recovery to-date. So, just curious if you have any wisdom to share on how we should think about occupancy for ‘22?
Dan Guglielmone: Yes. I think that growth – and it’s a range where we are trying to get up into that 92.5% to high-90s range. I think you should just model it pro rata by quarter. I don’t think there is a particular key in terms of where – how that increase will occur on the occupied metric.
Juan Sanabria: Okay. Great. And then just on Santana West, hoping you could give us a little color on how those leasing discussions are progressing, any expectation for signing a lease here in the near-term to give us more confidence? And maybe adding that incremental NOI to like a ‘23 property NOIs as that development comes on, or how should we think of the timing of that potentially?
Don Wood: On this particular issue, I have never been so toured in my life about talking more than I should or less than I should on this. I know what I am very comfortable with is that the conversations that are happening are a bit of a horserace right now. And the notion of kind of helping one versus the other, I don’t want to signal anything on that more than to tell you that we are making some good progress. I am not going to put a time on it, and I can’t give a little bit more given the nature of the negotiations at this point. Sorry.
Juan Sanabria: Understood. Thank you very much.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho. You may proceed with your question.
Haendel St. Juste: Hi Don. Hope you guys are well. I wanted to ask you about the cash basis tenants, still pretty elevated here. I don’t think there is a change versus last quarter. I guess I am curious why we aren’t seeing more progress on that given the backdrop. You are doing tons of leases, rents are going up. How do we square that versus the optimism that’s early, obviously, in your voice and your outlook?
Dan Guglielmone: What are you referring to with regards to your question regarding the cash basis tenants?
Haendel St. Juste: The percentage, I am looking here at 26% of – let’s see.
Dan Guglielmone: Yes. There is no plans for us to switch them back from a cash basis to an accrual basis. There is likely to be some fairly high hurdles for us to do that. And look, even pre-COVID, we had a big chunk. Most of our restaurants on a cash basis to begin with already. So, I wouldn’t anticipate – it’s not as though there is any progress, we need to see kind of repayment of deferrals, you need to see other progress with regards to consistency and payments, and then we will make those decisions. But I wouldn’t anticipate anything in – and that’s why we have nothing in our guidance with regards to making that change from cash to accrual.
Haendel St. Juste: Yes. Got it. And for clarity, but what was that pre-COVID, what was the range relative?
Dan Guglielmone: Probably around kind of the mid-teens as a percentage of ABR, just a big chunk of that was restaurants, and then our normal cash base has been tenants of lower rent quality, lower quality tenants at any one point in time.
Haendel St. Juste: Got it. Okay. Thanks for that. And a question on rent commencements, last year, certainly, the focus on rent collections, this year, more so on rent commencement. And I am just I guess I am curious to a question of supply chain and labor constraints. Any risk of perhaps not meeting some of the rent commencement timelines and risk to the side note opened rents? And any sense of anything you are able to do to perhaps compress some of those timelines or work with tenants in any way? Thanks.
Don Wood: Yes. The answer is yes to all the questions you just asked about it Haendel. I mean look, supply chain is a big deal. And are we able to do stuff about it, you bet we are from the standpoint of certain of the components of it, whether you are talking about HVAC equipment, whether you are talking about some of the provisions in the lease where that tenant will work with us, there are things that we have done and continue to do. And as Wendy loves to say, and boy, you can’t argue with this, is great relationships with tenants means that there is a partnership there in trying to get a store open. And that partnership means there is more likely to have a give and take in that – in the build-out process of where you can find the right equipment to be able to get stuff in. And we have had some real good success getting started with that. Does that mean there is no risk on the supply chain side, the store opening, of course, not. But it tells you differently as you look at them square in the eye because that’s what’s going on in the country right now. But we are all over, and frankly, have been all over for quite some time, floating staffing up there, including helping as best we can with relationships in the cities on the permitting side, which is always the least predictable part of this. So, all hands on making sure that the 3 million square feet of leasing that has been done at this company in the past is able to have its best chance for starting before or on the dates that we have got forecast.
Haendel St. Juste: Could you guys give an updated number for the side but not yet rents? I think last quarter, that figure was like $25 million. You expected 90% to hit this year. Can you give us…?
Dan Guglielmone: Yes. No, with sign and not occupied, that – what’s identified and a difference between our leased and occupied is about $23 million. We have also got a big chunk that is effectively about $17 million. That is in our non-comparable or basically currently in our redevelopment pipeline as well as what’s in our current pipeline of kind of 2022 deals that have been signed so far and going forward gets you up into the $50 million-plus of total rent starts potentially. So, we feel good about where we stand, and we see that as a big driver of some upside in over ‘22 and into ‘23.
Haendel St. Juste: Wonderful. Thank you, guys.
Operator: Our next question comes from the line of Floris Van Dijkum with Compass Point. You may proceed with your question.
Floris Van Dijkum: Thanks guys for taking my question. Actually following up on what Haendel asked about as well. I mean, if I do the math, I see excluding the NOI coming online from the development pipeline, which could be up to $75 million, you have got more than $10 million of NOI growth sort of identified here if I add up all of these pieces. So, if we start factoring this out, and obviously, not all of it is going to come online in ‘22, but a significant amount will be probably back ended in ‘22 into ‘23, but we are looking here at double-digit NOI growth going into – by the end of ‘23 comfortably double digits. That seems pretty attractive. Are we missing something here?
Dan Guglielmone: Well, keep in mind, I mean, look, we will have strong growth as the developments come online. And I think you can look at our additional disclosure on the big projects to kind of get a sense of that. Keep in mind, though, also there is the offset of capitalized interest going away as we deliver those buildings. We have signed leases there as we deliver those spaces to the tenants. Obviously, we shut off and capitalized interest. So, that’s a bit of an offset. So obviously, that’s what flows down to the bottom line. It’s just not kind of how quickly we grow the NOI on top. Obviously, there is capital associated with some of the redevelopment and expansions that we have got.
Floris Van Dijkum: And then as Don sort of alluded to in some of your residential leasing, presumably, having a building that signing rents 15% higher than next door, that suggests that the existing rents have some significant potential upside here as well. How long will it take, do you think, in your view, to harvest some of that residential rental upside as well?
Don Wood: Yes, that’s a great question, Haendel. And that should be a source of positivity for 2022, particularly through the spring season, and so later in the year, a little bit of luck, we will have that big building up at Assembly all these stuff by the end of the year, which would be great, which would be good stuff for 2023. And really, based on what’s going on in Boston right now, that is a real bright spot from a life sciences perspective and a back-to-work perspective and a job creation perspective. That is one of our, if not our strongest markets, which is interesting because it was a market that was hurt the most during COVID.
Floris Van Dijkum: Got it. That’s it for me.
Operator: [Operator Instructions] Our next question comes from the line of Linda Tsai with Jefferies. You may proceed with your question.
Linda Tsai: Hi, can you discuss expectations embedded in your POI growth of 3% to 5%? What’s the balance between growth in revenues and expenses?
Dan Guglielmone: Yes. I think that the – we would expect expenses – we have got a good year with regards to real estate taxes and keeping them low this year, so they should have be grow from this level. I would expect that there should be kind of modest, kind of bigger 3% rent expense growth kind of ordinary course from that perspective. And then obviously, just occupancy growing, with collections growing, with the offset of some prior period and lower term fees and so forth, all factor in. And obviously, some of the credit reserve is embedded in there beyond just the collection impact. So, all of those – but with regards to expenses, I would forecast kind of a traditional kind of 3% increase on both OpEx and real estate taxes. And maybe a little bit higher on the OpEx, just got to get inflationary pressure, but that’s all embedded in that 3% to 5%.
Linda Tsai: And then what are you forecasting for bad debt in 2022?
Dan Guglielmone: It’s – like I said, our credit reserve is call it, 2%, plus or minus 50 basis points. I think there is a bunch of – traditionally, we are kind of in the 50 basis points of bad debt as a component of that credit reserve. It’s going to be elevated, I would expect, probably going to be at least north of 1%. And that’s what’s – and there is a range that’s reflected in that 3% to 5%. But it will be elevated in ‘22 even above kind of the collection in that.
Linda Tsai: Thanks. And then in the earlier comments, you have mentioned that lease-up at Marcella is getting 15% higher rents. Is there anything in particular driving that maybe in terms of the demographics that are moving in?
Don Wood: No, it’s job growth. It’s job growth in Boston. I mean life science is absolutely on fire. It’s returned to work. It’s just a powerful job-creating market, a lot of relocations into the market from other parts of the country. Very impressive.
Linda Tsai: Thanks.
Operator: Ladies and gentlemen, we have reached the end of today’s question-and-answer session. I would like to turn this call back over to Ms. Leah Brady for closing remarks.
Leah Brady: Thanks for joining us today. We look forward to seeing everybody at Citi conference in a couple of weeks.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation, enjoy the rest of your day.